Operator: Welcome to Mativ's Third Quarter 2023 Earnings Conference Call. On the call today from Mativ is Julie Schertell, Chief Executive Officer; Greg Weitzel, Chief Financial Officer; and Chris Kuepper, Director of Investor Relations. Today's call is being recorded and will be available for replay later this afternoon. At this time, all participants have been placed in a listen-only mode. And the floor will be open for your questions following the presentation. [Operator Instructions]. It is now my pleasure to turn the call over to Mr. Chris Kuepper. Please go ahead.
Chris Kuepper: Good morning, everyone. And thank you for joining us to discuss Mativ's third quarter 2023 earnings results. Before we begin, I'd like to remind you that the comments included in today's conference call include forward-looking statements. Actual results may differ materially from these comments for reasons shown in detail in our Securities and Exchange Commission filings, including our annual report on Form 10-K and our quarterly reports on Form 10-Q. Some of the financial measures discussed during this call are non-GAAP financial measures. Reconciliations of these measures to the closest GAAP measures are included in the appendix of the earnings release and accompanying presentation slides. Unless stated otherwise, financial and operational metric comparisons are to the prior-year period and relate to continuing operations. The earnings release issued yesterday afternoon is available on our website at ir.mativ.com as are the slides for today's presentation. You can download the slides and/or click through these slides at your own pace during the call using the webcast interface. Since the SWM and Neenah merger closed on July 6, 2022, the third quarter of 2023 is the first reporting period since the merger that is truly comparable. However, year-to-date GAAP results for the first half of 2022 will still include legacy SWM since this was prior to the merger. Comparable performance for year-to-date figures to illustrate how our results compare on a like-for-like basis are shown in tables in our earnings release and the appendix of our presentation slides. Finally, with the August announcement about the sale of the engineered papers, results for this business are now being summarized separately as discontinued operations with all remaining businesses being reported as continuing operations. With that, I'll turn the call over to Julie.
Julie Schertell: Thanks Chris and good morning everyone. The third quarter marked the start of our second year as Mativ. Our teams have accomplished a lot over the past year, bringing two companies together and establishing one new can-do culture, quickly identifying and realizing synergies that are tracking ahead of our $65 million target and completing a detailed strategic assessment of our business portfolio. As we assess our businesses, we analyzed market dynamics coupled with our right to win, looking for the ability to grow and deliver attractive margins and returns on capital. We plan to invest most strongly behind our fastest-growing and most profitable categories like filtration and release liners and drive operational efficiencies and margin improvement across all categories. Following this review, we made a decision to divest our tobacco-related engineered paper business and found a strategic buyer who was able to move quickly with an attractive offer. The transaction is moving forward as planned and on track to close in the fourth quarter. Net proceeds from the sale are expected to be over $575 million and will be used to reduce debt. Now in our second year, we are focused on further augmenting cash flows through both operating savings and capital efficiencies and have a number of activities underway. Our supply chain efforts have been impressive. We've right-sized crew schedules and asset plans to reflect the current demand environment and reduce costs and have taken out over $50 million of inventory since the first quarter. We have plans to further improve inventory efficiencies measured as a percent of sales, targeting at least another 100 basis points. I mentioned in the past that we would be working on footprint optimization as part of the merger. We've recently announced manufacturing footprint consolidation at three of our smaller and less profitable facilities and are in the process of consolidating warehouse and distribution operations as well. These changes will begin in early 2024 and while they have minor upfront costs, they will deliver meaningful ongoing savings. We have aggressive and specific cost reduction programs for manufacturing and SG&A. Some of these began delivering value earlier this year and some will begin in early 2024. We're carefully managing capital spending with 2024 spending expected to be below $70 million down from the past two years. While tightening our belt, we will continue to invest in projects necessary to safely operate and maintain our equipment as well as those delivering compelling financial returns. Lastly, synergy realization remains a priority and is ahead of plan with over $25 million of value being delivered in 2023 and another $25 million identified for 2024. These efforts are especially appropriate in today's uncertain economic and geopolitical environment. As a manufacturing company, many of our markets are economically sensitive. The U.S. manufacturing sector, as measured by the manufacturing PMI, contracted in the third quarter as order softness continued and this was confirmed by volume declines reported by our customers. Turning to third quarter results, sales from continuing operations were about half a billion dollars and reflected lower customer demand due to economic conditions, continued de-stocking of inventory, as well as seasonal slowdowns in some of our European businesses. Sales were down 5% from Q2 and 10% below prior year. Comparisons versus prior year were impacted more significantly in specialty paper and packaging where industry-wide customer de-stocking continued this year and compared to a very strong prior year period. Adjusted EBITDA was $55 million for the quarter, similar to Q2 but the low prior year levels. Volume continues to be the biggest driver, including impacts of fixed cost absorption at manufacturing sites, and this offset continued benefits from synergy realization in positive price input cost management. I noted many of the activities we have underway to reduce costs. Demand generation is also extremely important in this environment and we are working closely with customers to grow share and explore new opportunities. Some of these efforts include the launch of new pearlized high quality packaging papers where we are the only North American producer capable of making this, a faster dissolving label that improves efficiency for customers, a new mid-tier paint protection film to meet growing market adoption rates, and advancements in optical films such as those used in ballistic resistant materials. In total, we expect these initiatives can add over $10 million in new revenue over the next 12 months. In addition, we are on track with larger projects to enable added growth in key markets. Release liners has a strong record of profitable growth. Our new capacity in Mexico recently came online and allows us to continue this growth as we expand our position in North and South America. Air, industrial, and light science filtration are large fast-growing markets. Our investment in a new melt-blown fine fiber asset to support these markets is on track to come online early in Q2 of next year. As noted in our last call, these two capacity additions represent over $50 million of added revenue. So let me sum up with a few comments. Over the course of the past year, our goal has been and continues to be to reposition Mativ strategically and financially for a strong future. While the short-term environment is challenging, we know what we need to do and our teams are focused in executing well. We are addressing the fundamentals by providing customers with innovative new products that meet their needs. Managing operations deliver high-quality products in a safe manner and driving continuous improvement in productivity and efficiencies in all areas. We are continuing to deliver benefits by managing selling prices to cover input cost inflation and realize merger synergies. We are taking additional actions to reduce costs and increase cash flow, including footprint optimization, spending controls, and working capital and capital spending initiatives. And importantly, we continue to execute against our long-term strategy, investing in attractive markets like filtration and release liners that will accelerate our growth rate and expand our margins. I'm confident, our actions will make Mativ stronger in the long run, and I'm excited about our future. I'll talk more about our outlook later in the call, but for now, we'll turn it over to Greg to review third quarter financials.
Greg Weitzel: Thanks, Julie, and good morning, everyone. Consolidated net sales for the quarter for $498 million compared to $551 million in the prior year. Selling price and currency were up about 3%, but were more than offset by a 12% volume-based decline. Healthcare was our best-performing category in the quarter with sales up 12%, while packaging and specialty papers felt the most pressure for the reasons Julie noted. Adjusted EBITDA for continuing operations was over $55 million in line with Q2, but down from $70 million in the prior year. Volume and manufacturing costs represented a combined $40 million impact, which was only partially offset by $23 million of combined net-selling price input cost benefits and favorable impacts from lower SG&A, real-life synergies, and currency. Turning to each of our segments, net sales and advanced technical materials of $394 million were down 8% year-over-year and 6% versus Q2. This reflected lower volumes due to increased customer caution and the uncertain macroeconomic environment, as well as seasonal flowing, particularly in Europe. The lower volumes were partially offset by higher selling prices in currency translation. ATM Adjusted EBITDA, $59 million, was down 6% year-over-year, reflecting the effects of lower volumes that were partially offset by positive net-selling price input costs, distribution efficiencies, and currency translation. Despite weak demand, we improved adjusted EBITDA margin by 30 basis points to 15%, mainly due to realized synergies and favorable product mix. In our fiber-based solutions for FBS segment, which now is comprised solely of packaging and specialty papers, net sales of $104 million were down 2% from last quarter and 17% from last year. Year-on-year results reflected customer de-stocking along with lower demand for premium paper and packaging in the current quarter. Industry data for uncoated printing papers indicated demand was down around 25% during the quarter. Results compared to a very strong prior year, when there was significant industry-wide customer inventory builds. Partly offsetting impacts of lower volumes for increased sales of consumer papers and higher selling prices. FBS adjusted EBITDA of $15 million, was down slightly versus the prior quarter, but down significantly year-over-year. The comparison to prior year was negatively impacted by a one-time benefit in 2022 of almost $7 million as we harmonized inventory costing systems between Neenah and SWM following the merger. Lower volume and associated manufacturing cost impacts in the current quarter were partly offset by favorable net selling price input costs. Turning to a few of the corporate items, unallocated corporate adjusted EBITDA expense of around $18 million was flat year-on-year. Interest expense of $17 million was up $2 million from the prior year period due to higher interest rates under variable debt in 2023. We will be paying off this higher cost debt with proceeds from the EP sale. Other income was around zero in 2023, down $2 million from 2022 when we recorded gains on certain foreign currency contracts. Our tax rate was negative in the quarter. This rate was driven by the goodwill impairment that was not deductible for tax purposes and a change in the valuation allowance against one of our tax assets. As you saw in our GAAP results, during the third quarter we performed a goodwill impairment analysis and recorded a pre-tax, non-cash charge of $401 million. The write-off included goodwill created the time in the merger when our company market valuation was higher and reflected today's weaker economic conditions and associated impact on the valuation of certain acquisitions. I'd note that while current valuations for some acquisitions are lower than when they were required a few years ago, when conditions were more robust and interest and discount rates were lower, these acquisitions are still attractive and gaining momentum. During the quarter we also recorded $19 million of non-cash costs to write down assets, including sites impacted by rationalizing our manufacturing footprint and just over $5 million of cash costs related to the pending sale of Engineered Papers. At the end of the quarter, net debt was a little over $1.6 billion and available liquidity was $414 million. Our debt matures on a staggered basis between 2026 and 2028. As announced in August with a revised capital allocation priorities, we revised our quarterly dividend to $0.10 a share. We made our first dividend payout of $5.5 million in September at this new rate. This revised payout frees up cash while still providing an attractive yield. We also re-purchased over $4 million of shares in the quarter. Our intent is to opportunistically re-purchase shares to offset dilutions and stock compensation. We expect repurchases in the board quarter to be at or below this amount. The prior use of cash flow however remains paying down debt. The sale of our Engineered Papers business which is on track to close this year will enable us to pay off more than a third of our outstanding net debt. We expect the reduction of over $575 million will decrease annual interest expense by more than $40 million. For modeling purposes, following the sale of Engineered Papers, depreciation and amortization expense should decline by around $20 million annually and we expect a normalized tax rate of about 24%. With that I will turn the call back to Julie for her closing remarks.
Julie Schertell: Thanks Greg. I'll start with a few near-term outlet comments before getting into 2024. Discussions with customers, vendors and others indicate near-term demand will remain subdued given the still uncertain environment. While indications are that de-stocking is largely over, customers typically manage inventories down at year end, so there may be a small sequential impact on our sales in the fourth quarter. We also take maintenance and holiday downs across our facilities which may add $2 to $3 million at incremental cost to the bottom line, in addition to impact from lower quarterly sales. Looking ahead to 2024, expectations are for demand to stabilize and then begin to pick up modestly later in the first half with recovery accelerating in the second half of the year. Input costs generally appear to have reached their low point and are projected to modestly increase. We will continue to implement our discipline pricing practices to overcome input cost pressures. Overall we expect growing sales and profits in 2024. Improvement should accelerate in the back half of the year as volumes recover allowing us to reach quarterly EBITDA of $70 million as we exit the year and grow from there. To bridge this number, a 5% increase in annual sales adds $35 million annually of profit contribution and we expect to deliver an additional $25 million in synergies as procurement contracts go into effect and footprint efforts are executed. Combined, this represents an incremental $15 million of quarterly EBITDA and excludes any upside from additional cost-saving initiatives underway. However, the key to this starts with demand recovery as market dynamics stabilize and recover, Mativ is well-positioned for long-term growth. Following the sale of Engineered Papers, about 80% of our revenues will come from ATM, which has stable mid-team EBITDA margins. This business is global, serving both industrial and consumer markets with attractive growth drivers such as clean air and water and infrastructure investments. Our technical capabilities are broad and we have long-standing relationships with leading customers with specified products that can uniquely meet their needs. You've heard this morning that our teams are aggressively executing plans to reduce costs, drive operating and capital efficiencies, and working closely with customers to generate demands. Our business and capital allocation strategies are clear and designed to accelerate profitable growth, strengthen our financial position, and deliver value to our stakeholders. I remain confident in our success in the years ahead and look forward to sharing our progress with you. That concludes our prepared remarks. Thank you for joining us and please open the line for questions.
Operator: Thank you. [Operator Instructions] First question comes from Jon Tanwanteng from CJS Securities. Please go ahead.
Unidentified Analyst: Hi. This is Justin on for John. How are you?
Julie Schertell: Good morning.
Unidentified Analyst: I know you just mentioned about the quarterly EBITDA run rate of $70 million. I was just hoping to get a little more color on when you expect to hit that and what kind of volume or macro improvements you need to see to get there?
Julie Schertell: Sure. I would say as we think about 2024, we believe the first quarter will be similar to our current pace. And over the course of the year, we'll continue to make progress toward an exit rate of $70 million in EBITDA. So Q1, we expect demand to remain fairly subdued with a modest pickup in Q2 and then continued recovery in the back half of the year. And then as I mentioned, we are expecting in total stronger top line and bottom line in 2024. And it doesn't take much to get there to the $70 million. We're at $70 million last Q3 with a stronger macro environment, a 5% increase in top line coupled with our synergies adds $15 million to our current pace. So I'm really bullish about it. We just need a little bit of modest market recovery to get there.
Unidentified Analyst: Okay. That's helpful. Thank you. And then, can you give some more detail on which end markets do you see remaining week or strengthening heading into Q4 and then 2024?
Julie Schertell: Yes. From an end market standpoint, I'd say we've seen the most strength in healthcare in where we compete in healthcare. Weakness, primarily in construction, and that's new construction rebuilds commercial and residential. And that impacts us from an industrial standpoint or at least liner standpoint in our adhesives and films and protective solutions. And then a little bit of weakness in transportation as well. So strongest in health hygiene, I'd say moderate, weakest in construction and transportation. And then our paper business, we have good visibility to our customers inventories in paper and we can see there is continued de-stocking in that business inventory. There's still remaining a little bit elevated.
Unidentified Analyst: That's great. And then just one more if I could squeeze it in. Can you give a little more detail on the valuation allowance you had in the quarter? Where is that coming from?
Greg Weitzel: Sure. Justin, this is Greg. That was related to a tax asset that we had associated in Luxembourg associated with the EP business that we are now releasing. With the sale of EP, don't see the ability to fully utilize that asset.
Unidentified Analyst: Okay. That's great. Thanks for taking my question.
Julie Schertell: Thank you.
Operator: Our next question is from Daniel Harriman from Sidoti. Please go ahead.
Daniel Harriman: Hey, good morning, everyone. Please don't worry. I'm not going to ask a question about de-stocking. I promised you last time. But it seems like margins in both segments held up fairly well for the quarter, despite the negative impact of volumes. So could you maybe just provide a little bit more color about the ongoing cost reduction efforts and what you're planning to do as we enter 2024? And then, Julie, you mentioned footprint optimization, and I was just hoping to get a little bit more color on that as well?
Julie Schertell: Sure. Yes, I'm really bullish on our margins and how well the team has managed them in this environment. With ATM margins at 15% and up versus prior year, it gives me a lot of confidence that as we realize some volume recovery, our margins will continue to show really nice expansion. From a cost reduction standpoint, we talked earlier this year about a $10 million target versus Q1 in manufacturing costs. We achieved that in Q2, and then that continues to pull through in Q3 and Q4. That's mainly driven by staffing changes, asset schedule changes, maintenance and purchase service reductions. Then there's an additional $5 million in cost improvement that will come as we consolidate some of these smaller assets that I mentioned. So we've announced the consolidation at three small sites that will migrate, mostly to different sites that we have. Some of the business won't, but the majority of it will. There's some upfront costs, it's fairly minimal, and then it adds about $5 million going forward, and that really starts, I'd say, mid to late Q1 of 2024. And then the last thing I would mention is, as we divest EP, it's a great time for us to launch an SG&A effort to ensure that we're right sizing our internal infrastructure to mirror what we have from a remaining business standpoint. So we have launched that. We're using an outside resource, because I think it's important for somebody to help us kind of look really strongly in the mirror at what we need to reduce so that we don't end up with stranded costs. So those are the really three big buckets I would think about from a cost standpoint, manufacturing costs, asset consolidations, and then SG&A efforts.
Daniel Harriman: Okay, great. That's really helpful. And then last one for me is just, how should we think about the company's leverage target? Obviously, as you build up through 2024 and you see that $70 million and EBITDA run rate in the fourth quarter, is there a particular target that the company is looking to achieve by year-end 2024?
Greg Weitzel: Yes, Daniel, the target still remains the same of two and a half to three and a half times. The journey there is a little more prolonged based on kind of the market dynamics that we just talked about. As we recover and work our way to that $70 million a quarter, that's what gets us there. The fact that that metric is based on a trailing 12 months and we're not going to come out of the gates, not expecting to come out of the gates in Q1 at 70, it'll prolong that a little bit, but the target remains the same, and our plan to get there remains the same.
Daniel Harriman: Perfect. That's very helpful. Thank you both.
Julie Schertell: Thanks, Dan.
Operator: We have no further questions on the call at this time, so I'll hand the call back to the team.
Julie Schertell: Yes, thank you for joining us this morning and your interest in matters, and we look forward to talking to you at our next quarterly call.
Operator: This concludes today's conference. Thank you all very much for joining. You may now disconnect your lines.